Operator: Greetings, and welcome to LuxUrban Hotels Third Quarter 2023 Financial Results Conference Call. [Operator Instructions]  As a reminder, this conference is being recorded. 
 I would now like to turn the conference over to your host, Devin Sullivan, Managing Director of the Equity Group. Please go ahead. 
Devin Sullivan: Thank you for joining us for LuxUrban Hotels 2023 Third Quarter Financial Results Conference Call. Our speakers for today will be Brian Ferdinand, Chairman and Co-CEO; and Shanoop Kothari, the company's Co-CEO and Chief Financial Officer. 
 Before we begin, I'd like to remind everyone that this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 set forth in Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Statements that are not purely historical are forward-looking statements. 
 Forward-looking statements include, but are not limited to, statements regarding expectations, hopes, beliefs, intentions or strategies regarding the future. In addition, any statements that refer to projections, forecasts or other characterizations of future events or circumstances, including any underlying assumptions are forward-looking statements. Generally, the words, anticipates, believes, continues, could, estimates, expects, intends, might, plans possible, potential, predicts, projects, should, would and similar expressions may identify forward-looking statements, but the absence of these words does not mean that a statement is not forward looking. 
 Forward-looking statements may include statements with respect to financial and operational guidance, the success of the company's collaboration with Wyndham Hotels & Resorts, scheduled property openings, expected closings of noted lease transactions, the company's ability to continue closing on additional leases for properties in the pipeline as well as it's anticipated ability to commercialize efficiently and profitably the properties at leases and will lease in the future. 
 Forward-looking statements are based on current expectations and beliefs concerning future developments and their potential effects on the company and there can be no assurances of these future developments will have been anticipated. These forward-looking statements are subject to a number of risks and uncertainties, some of which are beyond the company's control or other assumptions that may cause actual results or performance to be materially different from those expressed or implied by these forward-looking statements including those set forth under the caption Risk Factors in our public filings with the SEC, including in Item 1A of our 10-K for the year ended December 31, 2022, and any updates to those factors set forth in subsequent quarterly reports on Form 10-Q or other public filings. 
 Forward-looking information and forward-looking statements are made as of the date of this presentation and the company does not undertake any forward-looking information and are forward-looking statements that are contained or referenced herein except in accordance with applicable securities laws. Management will also be discussing non-GAAP financial metrics and a reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in the company's press release, which we issued yesterday afternoon. 
 With that said, I'd now like to turn the call over to Brian Ferdinand. Brian, please go ahead. 
Brian Ferdinand: Thank you, Devin. Good morning, and thank you for joining us today, everyone. We continue to be very pleased with the trajectory of our growth, the consistency of our execution and the depth and breadth of the opportunities that we are pursuing. We continue to evolve as a company and management team as validated by our results, we are successfully leveraging our first-mover sets, asset-light approach and focus on turnkey properties to identify and lease dislocated hotel properties in destination locations across the U.S. 
 In the third quarter of 2023, we generated record net rental revenue, EBITDA, our first GAAP net income quarter since coming public in prior quarters, we had incurred a variety of costs and charges associated with our now retired long-term debt that served to mask our inherent profitability. These expenses are now behind us, which we believe will result in a cleaner, less complicated P&L in future quarters. We remain true to our commitment to grow the business via non-dilutive funding. To that end, we closed our Series A preferred stock offering in late October and generated gross proceeds of $7 million, which we will deploy to further expand our portfolio. 
 The results of the offering reflect our focus on raising capital that can be immediately utilized to expand our footprint and enhance our operations. We want to avoid raising expense capital in the future that we cannot deploy in a quick and efficient manner to the benefit of our stakeholders in a non-dilutive fashion. Our relationship with Wyndham Hotels & Resorts continues to transform our business and help drive our growth. We have successfully onboarded the 17 initial properties under the Wyndham agreement and are in the process of integration, integrating additional hotels to Wyndham brand family and operating platform. We remain very optimistic about our future. Our pipeline of opportunities continues to expand and our asset-light triple net lease alternative is becoming an increasingly attractive solution for property owners against the backdrop of rapidly rising interest rates and its related impact to upcoming asset refinancings. 
 With that, I'll turn it over to Shanoop Kothari, our Co-CEO and Chief Financial Officer, for a review of our financials. 
Shanoop Kothari: Thank you, Brian, and thank you for joining us today. As Brian noted, we are very proud of our third quarter results and have put us in an excellent condition to finish the year strong. Our balance sheet is much improved and our business model is expected to allow us to realize the continuing growth throughout 2024. I would like to also remind everyone that our press release issued yesterday afternoon and our Form 10-Q filed with the SEC, both contain a good amount of detail on our operating goals. With that in mind, I'll focus my remarks on selected highlights and key items. 
 Net rental revenue nearly tripled to $31.2 million from last year's third quarter, driven primarily by an increase in average units available to rent to 1,423 from 571 as well as improved revenue per available room or RevPAR during the period. Year-to-date RevPAR rose to 274 from 191 in the same period in 2022 and from 247 at December 31, 2022. Occupancy for the first 9 months of 2023 was 81%. Q3 2023 total cash rent expense was $7.8 million or 25% of net rental revenue compared to $2.8 million or 24% of net rental revenue in the same period last year. Noncash rent expense amortization was $2 million in Q3 2022. Gross profit rose to $7.8 million or 25% of net rental revenue from $4.9 million or 42% of net rental revenue in Q3 2022. Gross profit in 2023 third quarter included other expenses totaling $13.6 million as compared to $3.9 million in last year's third quarter. 
 Last year's expense numbers are not comparable based on the accounting for certain expenses below gross margin under the apartment rental business model, which we exited in 2022. General and administrative expenses declined to $2.0 million from -- or 6.4% of net rental revenue from $5.0 million or 42.8% of net rental revenue. The decline as with gross profit was driven primarily by onetime charges incurred in 2022 related to our exit from our apartment rental business. Income from operations improved to $5.1 million from an operating loss of $400,000. 
 Income before the provision of income taxes improved to $2.9 million from a loss of $4 million. Net income improved to $4.9 million or $0.11 per share from a net loss of $3.2 million or negative $0.13 per share. Adjusted net income -- adjusted cash net income rose to $5.7 million compared to $900,000 in Q3 2022. For the quarter ended September 30, 2023, our EBITDA and EBITDA margin increased to $8.4 million or 27%, respectively, up from $2.4 million or 20% in Q3 2022. Q3 2023 margin results were slightly ahead of our goals of 20-plus percent EBITDA margins in the short term and 25-plus percent EBITDA margins in the long term. 
 Moving to the balance sheet. At September 30, 2023, cash and cash equivalents totaled $4.8 million, a $3.7 million improvement from December 31, 2022. Restricted cash was unchanged at $1.1 million. Our balance sheet at quarter end did not include proceeds from our October closing of an underwritten public offering of the company's 13% Series A cumulative redeemable preferred stock that generated gross proceeds of $7 million. The offering was non-dilutive, and we believe our ability to go to market with this new security reflects the growing strength of our financial position and promising outlook. I'd like to also add that senior management participated in this offering. 
 Total debt at the quarter end declined to $5.2 million from $14 million at December 31, 2022, and net debt in the quarter was around $400,000, down from $12.9 million at the end of 2022. Staying with the balance sheet, we continue to work on our payables and working capital and made strides in the quarter. Our working capital position improved to $6.6 million from a negative $2.4 million at June 30, 2023 and from a negative $13.9 million in December 31, 2022. 
 As we have stated previously, we continue to make efforts to improve free cash flow, liquidity and working capital and look to improve these metrics in the coming quarters. During the quarter, we added 4 properties, a total of 360 units all in New York City. Looking at our portfolio as of September 30, 2023, the company leased 16 properties with 1,446 units available for rent as of November 8, 2023, the company leased 18 properties with 1,599 units available for rent. And as of November 8, 2023, we leased 21 properties with 2,032 units, and these includes properties under lease, but not yet available for rent. 
 Regarding guidance. We have increased our net rental revenue and EBITDA guidance for 2023 and 2024, reflecting the expected addition of new rooms to our portfolio and the associated operating synergies we expect to realize from our Wyndham relationship. We expect that all-in RevPAR for 2023 will be between $250 and $280 per room while achieving over the year a target of quarterly gross margins of 30-plus percent, both in 2023 and 2024. We expect G&A, excluding noncash items, will approximate 10% to 12% during the year, and we believe that, that would result in EBITDA margins of 20% in the short term and 25% plus in the long term. 
 We expect to end the year operating approximately 2,500 to 3,000 units. As always, the timing of reaching our goals may positively impact our revenue guidance as a result of a partnership with Wyndham, we're pursuing larger, higher-quality properties than previously -- than we did previously. Although this is elongated or close cycle to 45 to 90 days, our pipeline opportunities has never been larger. Regarding a couple of operational initiatives and accomplishments over the quarter. 
 As Brian mentioned, we completed the onboarding process with Wyndham. All the initial properties are now co-branded under the by LuxUrban Trademark Collection by Wyndham brand. Second, we reduced corporate staffing by more than 10% without sacrificing client service organizational health. This included adding [ Matt Holman ] to our senior executive team as General Counsel effective the end of this month. We promoted 2 general managers to oversee operations in New York and Miami with the goal to improve operations and share best practices in areas we have meaningful unit density and as we continue to grow and evolve as a company, we expect to focus on 2 new initiatives over the next few quarters. 
 One, improve occupancy in seasonal markets, which we believe will result in much higher revenues. And the second is with the business well over $100 million run rate formally focused on ancillary revenue and co-branding opportunities, we believe that over the next 2 to 4 quarters, we can add 5-plus percent top line revenues and 3% to 5% margin improvement pursuing these new revenue streams. 
 I'll now turn the conversation back over to Brian. 
Brian Ferdinand: Thanks, Shanoop, and thanks to each of you for joining us today. I'll now ask the operator to open the call to questions. 
Operator: [Operator Instructions] Our first question today comes from Allen Klee of Maxim Group. 
Allen Klee: Congratulations on the strong results. First question is on RevPAR. With product, it looks like it did drop -- it was up very strong year-over-year, I think third quarter was down a little from second quarter. My question here is, is that mix related? Or is it anything to do with apples-to-apples? And so that expands the fact that you have -- you rebranded some of the properties to Wyndham that is also temporary were they've been operational when you carry them and that could improve once that's fixed. 
Brian Ferdinand: Thanks, Allen. So I'll take that and then turn it over to Shanoop for additional follow-up. So really a combination of 3 things. First is on some seasonality within the portfolio. The second piece is we did transition the entire portfolio of 17 hotels and the work periods of time where sales and distribution dropped during the quarter as we made that transition. So there was some a little bit of degradation there in terms of sales pickup for the quarter. Obviously, that's come back online and seeing a tick there. And then a slight softening given the overall economic environment. And one thing I will say is a lot of questions around our business is could we withstand the softening in RevPAR? And as you can see the leverage in the business we did see a softening RevPAR through those combination of factors and the business still performed very well, really well. 
 So I think that should answer some questions in terms of the ability for RevPAR to create -- higher RevPARs to create additional margin expansion. And then if you do get a softening RevPAR for a variety of reasons, including a softer economy, the business really still performs. Shanoop? 
Shanoop Kothari: Yes. So Allen, the front part of Brian's response, a lot of the second quarter bookings that drove RevPAR were made in the early part of the year, right? We don't recognize that revenue until the stay occurs. So that's just the nature of coming still out of COVID, some are travel pent-up and so that was part of the Q2 increase versus Q3. So the softening is light. We're not seeing the softening in the New York market personally experienced were full occupancy, we're actually, in some cases, overbooked. And operationally, we're figuring out how not to turn away guests because it's about experience. But really, it's based on the front end of the block of reservations booked at a frothy time and then a little bit of the transition to Wyndham where we were down a little bit, transitioning over. 
Allen Klee: I had 2 more questions. One was you have guidance of 2,500 to 3,000 rooms under MLAs by the end of this year. I'm not sure if that actually means that many that are operational. Is there a way to think -- I don't know if you can provide us of a framework of maybe how many might be operational by the end of the year? 
Shanoop Kothari: Yes, I would -- go ahead, Brian. 
Brian Ferdinand: Go ahead, Shanoop. I'll let you take that. 
Shanoop Kothari: Okay. So I mean we have 2,032 units under MLA of which 1,600 are operating. The bulk of that will be operating, I would say, 1,800-plus units shortly, maybe in the next week or 2 actively discussing that on an operational level. So my thought on this is the cycles, in some cases, are longer just based on the process that we're going through. But I would say between 2,000 to 2,500 would be what is operational. So maybe somewhere in the middle of that with the balance being under MLA. 
 So we'll enter 2024 somewhere in between 2,500 to 3,000, maybe on the higher end. One single property can get us well over the range, right? There's a number of assets in the pipeline that are 200, 300 keys that could easily get us over that. So it just depends on when the chips drop. But from a revenue guidance perspective, we're very comfortable as we've always been with our guidance. 
Allen Klee: That's great. My last question has -- this is more just so I can understand your deal with Wyndham. Were they put up roughly half of your upfront cost for a property that you're -- for the master leases that you're putting on the units. Related to that, how does it work in terms of you have to put up the cash upfront and then they reimburse you? Can I understand kind of the timing of that? And I'm really asking that just to understand like your working capital to be able to fund the future projects? 
Brian Ferdinand: Sure. So our strategy -- so the way the Wyndham financing works is they provide key money or that money development enhancement notes or incentive notes for each property that we bring on to the platform. So they provide key money in the form of development enhancement note, which amortizes over the life of the franchise agreement. So that capital as it gets redeployed to us for the initial portfolio, right, which was substantial capital into the business can then get redeployed into the business for new acquisitions, working capital at the property level, et cetera. 
 So we do put out the capital and then we get reimbursed on opening for the property that's going live. So when you're doing this in large scale, which was the purpose of the preferred offering was to get a larger scale cycle going of about 1,000 keys per quarter and then we get reimbursed that capital and then redeploy capital into additional units. 
Allen Klee: That's great. Congrats again. 
Brian Ferdinand: Thanks, Allen. 
Operator: The next question is from Matthew Erdner of JonesTrading. 
Matthew Erdner: So can you just talk about the opportunities that you guys have right now? And then on top of that, the 7 new properties that you brought on the 3 and 4 star. And then I guess, how Wyndham has played into the role of the developmental of just the pipeline itself? 
Brian Ferdinand: Sure. So currently, we have approximately 5,000 high-quality keys with the heavy concentration in New York, New Orleans, Boston and London under binding LOI or LOI that we're moving into our MLA cycle, larger scale, higher quality properties, some are even 5-star properties. So very, very robust. Wyndham has been very helpful, both in sourcing of properties under MLA as well as each property that we bring on to the LuxUrban platform that will be branded through trademark for one of the variety of brands goes through underwriting through Wyndham. We work very closely with their business development teams. And we obviously -- when we onboard the property, both operationally and from a sales and distribution perspective, it's done in a joint process. 
Matthew Erdner: Yes, that's helpful. And then as a follow-up, you talked about occupancy and seasonal markets. Is there any insight that you can kind of give in the 4Q occupancy numbers? And then if you could, could you expand on I guess, what you're going to be doing to try and increase the occupancy in some of those markets? 
Brian Ferdinand: I'll let Shanoop take that. 
Shanoop Kothari: Yes. So occupancy -- so again, New York continues to stay very robust, right? So it's a combination of overall dynamics of the city as well as the way we approach perishable inventory. The other markets, New Orleans does very well. L.A. is improving just based on us getting more traction and understanding of that market as well as I believe we opened not we, but we -- there was a restaurant opened within the property at the ground floor that will help there. 
 Miami continues to stay seasonal, right? So as we enter into the colder months in the Northeast, we should see a pickup there. Initiatives wise, we're looking to do a bunch of things at the property level, improve overall offerings in terms of grab-and-go breakfast, coffee, focus on one of our really, I would say, higher quality properties is slightly lower than our expected with regard to occupancy. 
 So I think that's a function of not as many reviews on that property. You think about reviews. Typically, they're negatively slanted. People don't give out of voice, when they have great stays. They usually put a review down when they're unhappy. So we've got to focus on getting the high-quality reviews in there to improve occupancy. So there's a number of factors as a management team, we're talking about it now weekly on certain markets as to what -- how to improve, especially where it's seasonal, where we have to work much harder to get the occupancy up. 
 But look, I mean, just as a management team, as the underlying comment, we've collapsed some of the team as a function of really sort of getting our hands more deeper involved in the business and focusing on the operations, which is occupancy, and I mentioned as well, ancillary revenues. So these are 2 things that are extremely low hanging fruit. We can't guarantee that it will happen next quarter, but we can definitely say that we're going to put full effort into it in the next couple of quarters, we're going to see a material impact. 
Operator: The next question is from Kris Tuttle of Caterpillar Investments. 
Kris Tuttle: Congratulations to Shanoop for a well-earned promotion there. I think I can speak for everyone when you might want to just point us to a link to understand the safe harbor rule in the future calls. But I've got a few questions and I wanted to know behind your 2024 guide, what's sort of your RevPAR assumption looking at next year? 
Shanoop Kothari: Yes. So RevPAR next year, we haven't adjusted that, and we're being conservative based on a couple of factors, right? So one is economic overhang, which I think from the hospitality perspective, has been overdone. I mean, if you followed other companies that have reported, they haven't really seen much of an impact yet. I think it's sort of one of the bright spots where there's overhang with economic uncertainty. 
 The second is, RevPAR is heavily weighted on what type of properties we acquired. So 4 star is going to be on the higher end, 3 star is going to be the lower end, markets also matter. New Orleans is much lower than New York, the equal star comparison. So we don't have a crystal ball on which are the best opportunities that we're going to be putting online in March, April, May, June, right? We have strong visibility into what we think is coming online over the next 3 to 4 months. But after that, sort of depends. So for example, in Brian's world, he'll reject the property and then they'll come back, right, because they're not quite at the refinancing deadline. 
 They'll try to garner a better alternative, but they'll come back to the table potentially in 3 or 4 months. And so even though we may have passed on a property that's a 4 star may come back into the pipeline. So there's a number of factors. I think we're being conservative. We've always been conservative. We have initiatives here. Obviously, ancillary revenue and occupancy will drive RevPAR up but we want to make sure that we provide guidance that's achievable, and we'll manage through that. 
Kris Tuttle: Okay. I think I can read into that. Can you talk a little bit about -- a little more about your -- you talked about your 2 initiatives and one of them was ancillary revenue partnership for example. Could you just provide a little color on what types of things that involves before I ask a follow-up question on that? 
Shanoop Kothari: Yes. So early check-in, late checkout, providing at the higher-end properties more of a, I wouldn't call it resort fee because that's not well received at this point, but more of a bundled service offering, Sundry bar, we've got something that we're talking to, which is a large sort of digital assistant platform. So there's a number of things that we get approached on as we continue to grow the portfolio, we become much more of a -- sought after candidate to continue to enhance the guest experience through third-party co-branding and it obviously adds revenue to us. 
 So very -- a variety of aspects. We've been so focused on really coming out of the gates of the IPO, executing on the business model, proving the business model, which I think in some cases, there is some skepticism associated to -- are the economics really that good. And now that we have an adequate portfolio and good operational team, we're going to start focusing on them. 
Brian Ferdinand: One additional thought. One additional item there is we've recently signed an agreement with Amazon Hospitality Pilot program in a number of our hotels, and that will be rolling out. We'll leave more details on that coming soon. 
Kris Tuttle: That's interesting. Just a couple more. So now that -- so as you acquire and bring these properties online, there are one-offs each of them with their individual contracts for the WiFi payment processor, whatever. My question is, as you guys get more scale, are you able to go to a payment processor like a ship for or a national communications company like an AT&T or something could get a better and more manageable deal on things like communication services and payment processing? I mean is that -- how important is that in terms of being part of the model part of the opportunity you have in the near to medium term, I guess? 
Brian Ferdinand: Kris, could you just repeat that? I just -- I want to make sure I fully understood the question. 
Kris Tuttle: Yes. I'm sorry. I'll try to simplify it. As you get more scale and have more properties, can you negotiate a more comprehensive deal with someone like Shippo for payment processing or AT&T for all the WiFi and hotel communications that gives you a better price performance basically? 
Brian Ferdinand: Yes, absolutely. So there's -- as we get scale, there's leverage across multiple pieces of the business. Obviously, driving commissions down right, payment processing, which is a large cost inherent in the business, 98% of the transactions or 99% are credit card processing. Lower rates there have pure incremental margin expansion, supply ordering, right? Wyndham, we're leveraging Wyndham system for a number of things in terms of public health supplies. And then in addition, we're working on a number of partnerships, which Shanoop talks about ancillary revenue. It's not just property level ancillary revenue. Its potential partnerships, which we're working on with large-scale, soap and beauty companies, product placement companies. 
 Again, I mentioned the Amazon Hospitality, that details will be coming on that. That's something similar where you're not only creating a better guest experience, the ability to upcharge for services, but also a lot of the product comes for free, right? So it's pure incremental margin, and they're looking to place product even then to certain pillows, mattresses, as you get scale, there's a lot of incremental ability to generate revenue across the portfolio. 
Kris Tuttle: Okay. All right. I can appreciate that. And let's see, I had one last question and then I'll get off, is -- where are we in the transition or the uptake of you guys talk about the -- you pay the CTA fees or the OTA fees, I should say rather. And then as you're on the Wyndham platform, you'll have the opportunity to enjoy more bookings to that platform, which is a lower percentage. Where are we on that? What inning are we in, in terms of that transition? Are you able to do that yet? How long will that take? 
Brian Ferdinand: Currently, 100% of our hotels that were -- from the prior portfolio to versus previous cumulative signings are on the Wyndham platform. We're working through that process now with them. So we are live on Wyndham Rewards under OTA commission rates currently, and we're working on technology requirements as we scale the portfolio and optimizing that. 
Operator: The next question is from Tom Kerr of Zacks Investment Research. 
Thomas Kerr: I think all my questions have been covered. Just one quick one on the taxes. That $2 million benefit tax. Is that just a timing issue? And then how do we look at tax rates for the fourth quarter and maybe even into 2024? 
Shanoop Kothari: Yes. So the tax benefit was related to upon further inspection. You think about the way tax provisions are done, you make an estimate at each quarter for what you think the year is going to be. The estimate is based on where you think the year is going to be as well as the deductibility of certain expenses. So in the preparation of our 2022, I'm probably going a little too complex. But in the preparation of our 2022 tax return, you got to remember, 2022 is the first year, we were a C-Corp. The ability to deduct the large charge from last year was determined, which we thought there was a limitation to that. So that's, hence, the big benefit. And so we have a large benefit associated to the rev share agreement that we entered into. 
 So going forward, next few quarters, I think it a very low tax rate with the benefit of that deductibility. And then as we probably approach sort of maybe second quarter onwards next year, about 30% would be is kind of where we penciled in all in with state and federal taxes. 
Thomas Kerr: Okay. So there will be a normalized tax rate at some point in 2024 and beyond? 
Shanoop Kothari: Yes. If you think about 2024 with the first half being low in the back half being sort of normalized, so maybe in the teens or 20s but then normalize from that point forward. Again, it's based on the large deductible nature of the rev share accounting we did last quarter. 
Operator: The next question is from Leo Carpio of Joseph Gunnar. 
Leo Carpio: Most of my questions have been answered, but actually, I have 2 follow-up questions. First on the Wyndham relationship. Can you provide some more insights in terms of how they help you with improving your RevPAR and especially on the occupancy in the slow seasons? And then secondly, can you comment on the pipeline of deals that you're having right now in terms of -- are distressed property vendors coming to -- hotel properties coming to you and increasing volumes or the same volume as you're gaining more recognition in the market. 
Brian Ferdinand: Great. Thanks, Leo. So first question. Wyndham has the largest rewards program in the world of approximately 110 million members worldwide, 9,000 hotel footprints, 500,000 600,000 keys, et cetera. So very, very large footprint, high volume through Wyndham's both rewards and direct booking channels. So leveraging that as a main point of distribution across the LuxUrban portfolio drives additional volume should result in increased RevPAR. We're seeing some good traction there in early days. We've been on for maybe 30, 45 days and seeing some good velocity in bookings there. So that's a main point of distribution. 
 And then in addition to that, Wyndham gives us the ability to leverage lower commission rates across the OTAs to drive bottom line margin expansion. So lowers our cost versus us doing it independently. So those 2 points in terms of sales and distribution as well as Wyndham is a globally recognized hospitality brand, LuxUrban as a new entrant into hospitality, a couple of years old, leveraging co-branding, by LuxUrban Trademark Collection by Wyndham enhances the property value. 
 It also helps in terms of pipeline acquisition, owners are obviously more comfortable with Wyndham's name attached to the hotel. They ensure a higher standard of both operating employee training at the property level, property inspections and just a higher brand standard than typical boutique hotel. So good quality control around employee interaction, customer service functions and also property level upkeep. 
 So helping there. And then in terms of the pipeline, we're seeing just about every deal come through in the market currently, very, very difficult refinancing and financing market for hotel owners probably historically the most challenging ever. And we're seeing higher quality assets, higher velocity of hotels in terms of amount of deals coming to us. It's very, very, very robust. 
Operator: The next question is from [ Matt Skoan of Encora ]. 
Unknown Analyst: I want to follow up on the funding arrangement between you and Wyndham. You mentioned that after reimbursement, it amortizes over the life of the franchise agreement. Does that mean that you're actually repaying the reimbursement that Wyndham provides to you and over what time period? 
Shanoop Kothari: Yes. So the way we account for it, the spirit of the agreement is -- it's roughly -- they're done asset by asset, but roughly 20-year agreements. If we perform on the agreement, there's no repayment. So it's amortized from our financials. So it's a liability amortized to a reduction of expenses over the 20-year course. If we don't perform on the agreement, there's a liquidated damages provision that's about 18 months of fees that they would receive for that key money on the front end. So again, the spirit of it is, it's not really a liability, it's booked as a liability because kind of put it somewhere in the balance sheet. And then it brought down off the balance sheet over the term of the agreement. 
Unknown Analyst: Okay. That brings me to my next question, which I've made an assumption, but I haven't actually seen it spelled out. How is Wyndham getting paid for all of these benefits that they're providing to LuxUrban? What is that going to look like on the income statement? 
Shanoop Kothari: Yes. So it's going to be in cost of revenues. There's a slew of fees but on a very, very high level basis, the combination of the fees booked with a booking fee included, right? So if it's booked off of their platform. So if a guest directly books off of their platform, it's a reduction of overall operating expenses by the magnitude of, call it, 3%, 4%, 5% than what we had previously. If we book -- if the guest books off of a third-party platform, they have negotiated rates off the third-party platform that were better than what we had before the agreement, but it is an incremental cost increase. 
 So look, I mean, initially day 0 and day 1 as traffic goes towards their site, we would incur greater expenses. And then over time, we'd expect to achieve 70, 80-plus percent of bookings off the Wyndham platform, which is an overall margin savings for us, right? So in the magnitude of a few percent, which you're thinking about run rate business beyond $100 million going to $200 million meaningful dollars. 
Unknown Analyst: Okay. So despite the fact that you're paying them some kind of fee or royalty off the top, you actually expect this to be accretive to maybe the margin profile that you put out in the past. Is that accurate to say? 
Brian Ferdinand: Yes. We'll see 3% to 4% minimum margin improvement net of not of all inquisitive. 
Unknown Analyst: Okay. Great. And then OTA receivables are a growing line item on your balance sheet. What do you expect kind of the collection period or DSOs to be on that? 
Brian Ferdinand: Sure. So those receivables are made up of. We took over -- so the OTA receivables are pretty consistent with last Q. We took over 2 properties that had receivables due from New York City that we turned over. So that is the bulk of the increase this Q. So the City of New York receivables for programs really onetime as we took over a possession of 2 properties, there was receivables through the quarter. OTA receivables were about $5 million or $6 million, consistent with last Q. I should stay static around there. That was really a onetime turnover on the 2 particular hotels that we took over this Q. 
Unknown Analyst: Okay. So as you continue to grow, that it would not normally be as large as that or might go away entirely? 
Brian Ferdinand: Yes. I would say 10% to 15% of the Q revenue. 
Unknown Analyst: Okay. That's helpful. And then kind of last one for me. I think you mentioned 5,000 properties under LOI with the new Wyndham partnership and you've kind of put out numbers of 6,000 MLAs by June and up to 12,000 by year-end. What -- I guess what gives you the confidence to put out kind of some big numbers like that? And how confident are you in those conversions of those LOIs? And over what time frame will they occur? 
Brian Ferdinand: Yes.  Sure, highly confident what we wouldn't have put it out. Historically, we have met or exceeded guidance, both in earnings and unit count, high conviction deep, deep in the process on both lease negotiations and/or signing of leases on those deep process with Wyndham underwriting on those in terms of key money, brand standards, PIC reports on a lot of those assets have been run. So they're very far along in the process, and they're highly achievable. 
Operator: The next question is from Adam Waldo of Lismore Partners. 
Adam Waldo: One more on the balance sheet following the prior questioners inquiry about the OTA channel retained funds receivable. The processor retained funds, I think, relates obviously the payment processor. And I think if I recall, you all put out a press release late in '22 or early in '23 around the switch and payment processor resulting in freeing up that working capital to be able to reinvest in growth. Am I right in my recollection there? And if so, how do you -- how should we think about the process of retained funds balance developing as we go forward at the rate of growth you're seeing? 
Brian Ferdinand: Yes. Great. So if you see it's -- so it's no longer increasing. If you see, I think it went down about $1.1 million Q-over-Q, right? So we did get some release there. I think it went from -- I don't -- 6 and change now into the 5s. Sorry, we got a release of about over $1 million that came into working capital over the Q, which was deployed into the business. So I think over the next 2 or 3 Qs, you should see that come down to a negligible number. It certainly will not increase and it will come down through the balance of the next few quarters as we get those funds released working with those processors. 
Adam Waldo: So does that become -- I'm sorry. 
Shanoop Kothari: And -- but thinking about it from when that balance peaked at the end of last year, the revenues are almost -- not quite, but 2.5x so as a percentage of revenues, it's gone down considerably, right? And so it's really meant for a protection of holdbacks and so forth. But so as a percentage, it's plummeted and they've also started releasing capital. 
Adam Waldo: No, absolutely. But I guess where I was going with it is now that you're obviously payment processing almost entirely through the Wyndham platform. Does that go down to just a few million dollars over the next few quarters. Brian's comments seem to suggest maybe that does and becomes a source of growth capital. And no follow-up after that. 
Brian Ferdinand: It does. It should eventually go to 0, right? Because there's no more holdbacks given the strength of the business on current payment processing. It's historic payment processors that we're working with that were holding back given the balance sheet of the company historically. And as it's improved, we don't have a requirement for holdbacks any longer on the new payment processing. So as we work over the time periods of those contracts, the money gets released. So we'll provide working capital and it should get to 0 over the next 3 to 4 quarters. 
Operator: There are no additional questions at this time. I would like to turn the call back to Brian Ferdinand for closing remarks. 
Brian Ferdinand: Great. I appreciate everyone joining, and thank you very much. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.